Operator: Good morning, and welcome to the PennantPark Investment Corporation’s Second Fiscal Quarter 2018 Earnings Conference Call. Today’s conference is being recorded. At this time, participants have been placed in a listen-only mode. The call will be opened for a question-and-answer session following the speakers’ remarks. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Investment Corporation. Mr. Penn, you may begin your presentation.
Arthur Penn: Thank you, and good morning, everyone. I’d like to welcome you to PennantPark Investment Corporation’s second fiscal quarter 2018 earnings conference call. I’m joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include a discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I’d like to remind everyone that today’s call is being recorded. Please note that this call is a property of PennantPark Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone numbers and pin provided in our earnings press release as well as on our website. I’d also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today’s conference call may also include forward-looking statements and the projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com, or call us at 212-905-1000. At this time, I’d like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Arthur Penn: Thanks, Aviv. I’m going to provide an update on the business starting with financial highlights, followed by discussion of the overall market, the portfolio, investment activity, the financials, and then we’ll open it up for Q&A. For the quarter ended March 31, 2018, we invested $97 million. Net investment income was $0.19 per share. We have applied for our third SBIC license. After quarter-end, we paid down an additional $15 million of SBIC I debt. Our Board of Directors has authorized a stock repurchase program of up to $30 million worth of stock over the next 12 months. The quarter included substantial portfolio rotation, including the exit of one of our four energy-related names. We have also substantially reduced our PIK income. As a reminder, the Board approved an amended investment advisory agreement, lowering the base management fee to 1.5% per annum and the incentive fee to 17.5%. The incentive fee floor will remain at 7%. This new agreement has taken effect on January 1, 2018. As of September 30, we had taxable spillover of $0.26 per share. With the new fee agreement, a stable underlying portfolio and substantial spillover, we believe that PNNT stock should be able to provide investors with an attractive dividend stream, along with a potential upside as energy market stabilizes and our equity investments mature. Our primary business of financing middle-market sponsors has remained robust. We’ve managed relationships with about 400 private equity sponsors across the country from our offices in New York, Los Angeles, Chicago, Houston, and London. We have done business with about 180 sponsors. Due to the wide funnel of deal flow that we receive relative to the size of our vehicles, we can be extremely selective with our investments. In this environment, we have not only been extremely selective, but we have generally moved up the capital structure to more secure investments. A reminder about our long-term track record. PNNT was in business in 2007, primarily as a subordinated and mezzanine investors, then as now focused on financing middle-market financial sponsors. Our performance to the global financial crisis and recession was excellent. Average EBITDA of the underlying portfolio companies was down about 7% to the bottom of the recession. The average high-yield company EBITDA was down about 40% during that timeframe. As a result, we had few defaults and attractive recoveries on that primarily subordinated and mezzanine portfolio. In this environment, due to our deep and broad investment team, we are seeing more deals than ever. We’re using our tried intrude underwriting discipline in middle-market sponsored deals. We are generally high in the capital stack and have substantial junior capital beneath us to provide cushion. As a result, we believe that we can continue to provide attractive risk-adjusted returns for our shareholders even in this environment. We remain focused on long-term value and making investments that will perform well over an extended period of time and can withstand different business cycles. Our focus continues to be on companies and structures that are more defensive, have a low leverage, strong covenants and high returns. We are a first call for middle-market financial sponsors, management teams and intermediaries who want consistent credible capital. As an independent provider, free of conflicts or affiliations, we’ve become a trusted financing partner for our clients. Our portfolio is constructed to withstand market and economic volatility. In general, our overall portfolio is performing well. We have cash interest coverage ratio of 2.7 times and a debt-to-EBITDA ratio of 5 times at cost on our cash flow loans. With asset yields coming down over the last several years, we are looking to create attractive risk-adjusted returns in our portfolio. We have a three-point plan to do so. Number one, we are focused on lower risk, primarily, secured investments, thereby reducing the volatility of our earnings stream. Investments secured by either our first or second lien are about 79% of the portfolio. Number two, we are also focused on reducing risk from the standpoint of diversification. As our portfolio rotates, we intend to have a more granular portfolio with modest bite sizes relative to our overall capital. Number three, we look forward to continuing to monetize the equity portion of our portfolio. Over time, we are targeting equity being between 5% and 10% of our overall portfolio. As of March 31, it was 17% of the portfolio. As you all know, the Small Business Credit Availability Act was signed into law in late March. At the current time, we’re not going to increase leverage at PNNT. Our intention is to maintain our investment-grade ratings at this time. As we get closer to October 2019, which is when our public bonds mature, we will assess investment and financing landscape and evaluate our strategy in order to maximize long-term value for our stakeholders. We remain comfortable with our target regulatory debt-to-equity ratio of 0.6 times to 0.8 times. We’re currently at about 0.5 times regulatory debt-to-equity. On an overall basis, we are targeting overall GAAP leverage of 0.8 times. As of March 31, we were at about 0.76 times overall GAAP leverage, and our net leverage debt minus cash was 0.46 times. We had significant cash realizations in the quarter ended March 31. We realized $231 million of total sale proceeds, including about $46 million of proceeds on equity positions. Equity positions were realized in American Gilsonite, Galls, Convergint, Corfin, EnviroSolutions and TRAK, generating a realized gain of about $24 million. With regard to our energy-related portfolio, we’re pleased that one of those assets was American Gilsonite, which generated a total realized gain of $8.1 million in the quarter. Despite the energy downturn and conversion of debt-to-equity a couple of years ago in Gilsonite, we ended up with an 8.6% IRR and 1.4 times multiple on invested capital of our whole period of 5.5 years. We co-led the restructuring and took an active approach in setting strategy with our Board position. This approach enable us to have – add more than a full recovery on our capital. This example further demonstrates our strong track record and expertise of preserving value when our credits have issues from time to time. One of our three remaining energy names is in oil field services. U.S. Well is performing better as drilling activity has picked up. With regard to our two E&P names, RAM and ETX, they have been aided by the higher oil and gas prices. It will take time for us to maximize our recovery. ETX’s capital structure was recast during the quarter, the best position the company for growth, including acquisitions. Our convertible debt instrument was converted into equity at a value approximating cost, which is the basis for a valuation for the quarter. This conversion and valuation was driven by the majority of shareholders. We’re a minority shareholder in ETX and we owned approximately 14% of the equity. The company is planning an acquisition and believes that a debt-free balance sheet will allow them to obtain the most attractive terms from RBL lenders. We’re encouraged that the energy markets are rebounding. This enhances the M&A environment in the sector and our ability to evaluate strategic options for energy-related companies. We’ve had only 12 companies going non-accrual out of 199 investments since inception over 11 years ago. Further, we are proud that even when we had those non-accruals, we’ve been able to preserve capital for our shareholders. Through hard work, patience and judicious additional investments in capital and personnel in those companies, we’ve been able to find ways to add value. Based on values as of March 31, today we have recovered about 80% of capital invested on those 12 companies that have been on non-accrual since the inception of the firm. We currently have no investments on non-accrual. It might be helpful to highlight our long-term track record over 11 years, including the global financial crisis and recession. Since inception, PNNT has made a 199 investments totaling about $4.7 billion at an average yield of about 13%. Including both realized and unrealized losses, PNNT lost only about 34 basis points annually. We are proud of this track record, which includes both our energy investments, as well as our primarily subordinated debt investments made prior to the financial crisis. In terms of new investments, we’ve known these particular companies for a while. We’ve started the industries or have a strong relationship with the sponsor. Let’s walk through some of the highlights.
.: Turning to the outlook. We believe that the rest of 2018 will be active due to growth in M&A-driven financings, due to our strong sourcing network and client relationships, we’re seeing active deal flow. Let me now turn the call over to Aviv, our CFO, to take us through the financial results.
.: Turning to the outlook. We believe that the rest of 2018 will be active due to growth in M&A-driven financings, due to our strong sourcing network and client relationships, we’re seeing active deal flow. Let me now turn the call over to Aviv, our CFO, to take us through the financial results.
Aviv Efrat: Thank you, Art. For the quarter ended March 31, 2018, net investment income totaled $0.19 per share. We had about $0.03 per share of other income. Looking at some of the expense categories, management fees totaled $6.7 million, general and administrative expenses totaled $1.1 million, and interest expense totaled $5.9 million. During the quarter ended March 31, unrealized loss from investment was $29 million, or $0.42 per share. We had about $22 million, or about $0.31 per share of realized gains. Excess income over dividends was $0.01 per share. Consequently, NAV per share went from $9.10 per share to $9 per share. As a reminder, our entire portfolio, credit facility, and senior notes are mark-to-market by our Board of Directors each quarter using the exit price provided by independent valuation firms, Security and Exchanges or independent broker dealer quotations when active markets are available under ASC 820 and 825. In case where broker dealer quotes are in active, we use independent valuation firms to value the investments. Our overall debt portfolio has a weighted average yield of 11.5%. On March 31, our portfolio consisted of 49 companies across 23 different industries. Their portfolio was invested in 40% first lien secured debt, 39% in second lien secured debt, 4% in subordinated debt, and 17% in preferred and common equity. 87% of their portfolio has a floating rate. Now let me turn the call back to Art.
Arthur Penn: Thanks, Aviv. To conclude, we want to reiterate our mission. Our goal is to generate attractive risk-adjusted returns through income, coupled with long-term preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle-market companies that have high free cash flow conversion. We capture that free cash flow primarily in debt instruments and we pay out those contractual cash flows in the form of dividends to our shareholders. In closing, I’d like to thank our extremely talented team of professionals for their commitment and dedication. Thank you all for your time today and for your continued investment and confidence in us. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Rick Shane with JPMorgan.
Richard Shane: Hey, guys, thanks for taking my questions this morning. Look, our thesis on the stock has been that the book value discount or the NAV discount reflects the exposure to the energy patch in discounting of that. But there’s another way to look at this, which is, if we look at the ROE trend over the last several years, it’s down, call it, 150 to 200 basis points from where it was. The question I have is, do you think in the current environment with spreads compressing, there is an opportunity to start enhancing ROE? Is it going to be a function of the asset sensitivity in the portfolio, or there are going to be selective opportunities to deploy capital the way that’s accretive to ROE?
Arthur Penn: That’s a great question, Rick I think, we have several different irons in the fire for improving ROE. One is, finding good investments, we have $50 million of cash sitting in SBIC II right now, obviously, as we deploy that, that will enhance ROE. And then we have equity that we hope to convert into cash and then cash paying debt instruments. So over time as we take the equity percentage from 17%, hopefully, down to 5% to 10%, that should be helpful. And what we do, we all as BDCs have LIBOR as wind air back helping us. So really using our capital, using the SBIC financing, reducing equity, LIBOR and, of course, see under the stock buyback, we’re very happy to be able to do the stock buyback. Our intention is to do it over the next full quarter just like we did a stock buyback a few years ago. So we’re going to put the money to work and buy the stock, really it’s cheap.
Richard Shane: Got it, okay. And you’re right, it is interesting because of the sort of the math of how the Street looks at BDC as you really do get very little credit for the equity investments, because the gains are considered to be episodic. And so you don’t get a lot of credit and it looks like a drag on the ROE, so that’s a fair point. And again, look, what do you think is inappropriate hurdle rate here?
Aviv Efrat: Hurdle rate in terms of expected return on the portfolio or what’s – what specifically are you asking?
Richard Shane:
[:
Aviv Efrat: Look, we’ve always wanted and targeted as double-digit ROE. We continue to do so. And our underwriting other than for a couple of errors we’ve made, historically, it’s been pretty strong and generated a very nice return even through a global financial crisis and recession. So, we’re still a double-digit. We’re still under the belief and goal that we’re generating double-digit ROE.
Richard Shane: Great. Thanks, Art. I appreciate the answers.
Operator: And we’ll take our next question from Doug Mewhirter with SunTrust.
Douglas Mewhirter: Hi, good morning. Two questions. First, Aviv, could you – if you have that in handy, could you quantify the contribution from higher LIBOR rates on this particular quarter’s earnings compared with last quarter’s or the same quarter last year?
Aviv Efrat: Certainly. So, as you know, we’re including a chart at the end of the Q that kind of show the sensitivity what happens when LIBOR goes up. So in general, I’d say, last quarter the LIBOR went up approximately it will take 50 bps. If it continues to go 50 bps next time based on this chart during the back of the Q, it should be closer – close to a $0.01 increase in NII, that’s the impact on net investment income.
Douglas Mewhirter: Okay, thanks for that. And I had a specific company-related question or a portfolio company-related question. I noticed, Superior Digital, even though the first lien loan seems to have been marked down, I forget whether you had talked about that in previous quarters. I guess, is there – I guess, is that something that stabilized now, or is that something that maybe we need to keep a closer eye on in the future? And what’s sort of the background behind there?
Arthur Penn: Yes, it’s a little bit of both. It’s a billboard company focused in New York Times Square. It is improving. The operations are improving, but it is something we’re watching. And so it’s kind of both. It’s – where subject to getting advertisers on those billboards, which we have an excellent management team in there, they’re making good progress doing that.
Douglas Mewhirter: Okay thanks, that’s all my questions.
Arthur Penn: Thank you.
Operator: And we’ll take our next question from Kyle Joseph with Jefferies.
Kyle Joseph: Good morning, guys. Thanks for taking my questions. Just following up on Doug’s questions, just trying to get a sense for revenue and EBITDA growth trends broadly across the portfolio, and sort of any changes you’ve seen versus last year?
Arthur Penn: It’s a good question. We are continuing to see by and large a healthy U.S. economy between our vehicles, we have something like a 150 different companies across the economy and we’re seeing some nice growth, 5% to 10% in general EBITDA growth across the portfolio, so it’s been a healthy time in the economy and for our portfolio of companies.
Kyle Joseph: Got it. And then just thinking about your outlook for new deal flow, I know you mentioned that your pipeline is pretty strong, and obviously your credit is very stable, but just wondering which industries are the most attractive and which are avoiding currently?
Arthur Penn: Look, we’re kind of underwriting the same way we always have. We avoided a lot of the fashion fad, retail restaurant type credits. We’re done with energy and we’ve got enough energy exposure, so we’re generally across the economy. One thing I’d like to point out is, one thing I’d like to point out is that if you look at our deal flow, it’s coming from a broader cross-section of sponsors from a broader cross-section of geography. Several years ago we purposely invested in our platform, opened up an office on the West Coast, opened up an office in Chicagoan, an office in Texas, London beefed-up New York. And we’re developing new relationships which are showing up in our portfolio. The Bazaarvoice deal I mentioned earlier is from a sponsor on the West Coast. The OX2 investment I discussed early is from the sponsor in Chicago. So this has given us a wider funnel which allows us to be both active and selective and those investments we’ve made in our infrastructure and out team are really starting to payoff.
Kyle Joseph: Great, that’s helpful. Thanks a lot for answering my questions.
Arthur Penn: Thank you.
Operator: And we’ll take our next question from Mickey Schleien with Ladenburg.
Mickey Schleien: Yes, good morning Art and Aviv. I wanted to start with a high-level question, just to ask you what proportion of the portfolio is in sponsored cash flow based loans that are – and what is their EBITDA, average EBITDA?
Arthur Penn: Yes, so about 90% of the portfolio today is sponsors and that’s gone up over time again from parts of where we are in the credit cycle. We like having a lot of equity beneath of us and that’s one of the nice things in the – in this environment is, there is quite healthy equity checks beneath us in most of the cases 50, some times 60%. So that’s a nice thing. In terms of kind of the middle of the bell curve for us in kind of a $20 million to $30 million EBITDA size in the middle of the bell curve. Once you start getting the $50-ish million of EBITDA, the broadly syndicated market is very aggressive financing those companies. So, we’re – we think the sweet spot for us is 20, 30 of EBITDA, probably as low as 10, as high as 40, but that’s the sweet spot for us in this environment.
Mickey Schleien: I appreciate that Art. But even if that $20 million, $30 million level, from what I’m hearing that, that’s a pretty challenging market right now and I’m curious whether you are considering strategies to diversify into new markets or is the game plan to let the market come back to you and if the balance sheet shrinks as a result of that, then so be it?
Arthur Penn: Yes, look, we might be in a different place than some of our peers, but given the build out we’ve had in our platform over the last few years and with all these regional offices and more depth in New York, we can be very, very selective and still with the size of our vehicles, we are – I don’t know if you want to call us medium sized or whatever you want to call us, the size of our vehicle is relative to the deal flow and the new relationships we’re developing with these regional offices and more depth in New York. We’re still only doing 2% or 3% of the deals that come in, but we are seeing a lot of interesting flow and that allows us to be picky even in the $20 million or $30 million EBITDA range.
Mickey Schleien: So if you were to characterize this quarter, where we saw a fairly meaningful contraction in the portfolio, was that proactive on your part or was that prepayments that you weren’t expecting?
Arthur Penn: Look, these companies were performing well, so when the companies are performing well, in some sense you expect – you expect prepayments and that’s what you are hoping for. I mean, again, we thank people when they pay us back. A nice thing was that we got the $46 million of excess on equity investments, which were really good and tend to be – tended to be good equity co-investment we made alongside sponsors, plus the excellent Gilsonite which was terrific because it reduced our energy exposure. So we’re very pleased with that. We’ve been dealing on average of $100 million-ish, maybe $125 million a quarter in new investments, we’re a little light this past quarter, the quarter we’re in right now we are fairly active. So it’s kind of steady as she goes, we really like the facts that with the – with all the excess we got, we could both maintain our investment grade rating and also initiate a stock buyback. So we’re very pleased with that fact, because we wanted to do the stock buyback for some time, but did not want to – did not want to lose our investment grade rating as part of that. So the excess giving us is opportunity.
Mickey Schleien: That’s helpful. I wanted also to follow-up and ask a little bit about the cash position, which is pretty significant. I think you said in the prepared remarks $50 million 5 zero’s in the II SBIC, is that right?
Arthur Penn: Yes, that’s right.
Mickey Schleien: And is there a meaningful amount in the I one apart from the money that you used to, I guess you’ve prepaid some more SBA debentures there, is there a significant cash balance in the I SBIC?
Arthur Penn: No, that’s a gradual wind down, SBIC I is a gradual wind down, we’re eager to use the $50 million of cash in SBIC II and we are on file with the SBA. For hopefully SBIC III we’ve had an excellent track record with the SBA. I think we’ve had like a 14% IRR on the investments we’ve put in the SBIC, so you never now because it’s Washington, but we’ve had a very nice track record and we hope to at some point to get SBIC numbers right. So the cash is going to be used for the stock buyback, for new investments, for SBIC II and also to maintain our investment grade credit rating.
Mickey Schleien: And as SBIC I winds down, are you in a position to convey that equity into SBIC III, is that the plan? I know it probably has to go through the BDC, but just how you…
Arthur Penn: Yes, yes.
Mickey Schleien: Yes, okay.
Arthur Penn: Yes, we are going redeploy. Again with a plenty of liquidity we’ve – that will go into SBIC III if and when we get it.
Mickey Schleien: Okay and in terms of the credit facility, is there some sort of minimum borrowing requirement or why wasn’t that paid down completely, at least as of March instead of holding the cash.
Arthur Penn: Yes, so we use the credit facility in some ways to do hedging for our non-U.S. investments, so we have a couple European investments, I think we have an Australia investment or two, and what we do is we borrow in those currencies as a way to hedge those assets which are in foreign currencies, so that’s why there is $40 million or $50 million balance in the credit facility.
Mickey Schleien: Okay I understand and I think I’ve asked that question before, my apologies. And just my last question on the stock repurchase, is that a 10b5-1 plan and what parameters are you looking to use it? In other words is there someone – some sort of minimum discount to NAV that you are going to employ to help you move the needle or just some color on that would be really helpful.
Arthur Penn: You know what, we’ve done stock buyback before and our intention is the same thing, it’s – right now it’s not a 10b because I – we just want to kind of get a sense of what the market is, but our intention is over the next four quarters to methodically put that money to work, you call it 25% per quarter which is what we did last time. If the market spasms and the stock goes down more, we’ll obviously if we can get the stock cheaper, we’ll dive in and get it cheaper.
Mickey Schleien: Okay and finally and I’ll get off the queue here. The way – portfolio weight went down in a period where LIBOR increased, I know there was a lower allocation to sub debt, was there anything else in the portfolio that caused the weighted average yield to go down?
Arthur Penn: Look, it’s just kind of, it’s going to ebb and flow, sometimes we’ll have a little higher yield, sometimes little lower, I think it will just depend on the deals that come in in the quarter. I think we’ve been guiding people every time that, today the portfolio have yielded like mid 11s. Over time given our strategy if that’s going to go down into the 11 to a 10 to 11 zone as we continue to move up capital structure, derisk the portfolio although we are starting to get some benefit from LIBOR which is nice, so that will mitigate some of that.
Mickey Schleien: That’s great, thanks for your time Art.
Arthur Penn: Thank you.
Operator: And we’ll take our next question from Jonathan Bock with Wells Fargo Securities.
Jonathan Bock: Good morning, and thank you for taking my questions. There certainly were quite a few. So I will come and hone in on a few other points. Art, the first is trying to understand the value of the investment-grade rating today? And understandably, one can imagine that there were some folks that invested according to an investment-grade rating in the past, but given that the duration or more importantly, they expected to payoff here so short. It’s not as if a downgrade in the investment-grade credit rating is going to really be that much of an issue there. So is that because you’re trying to effectively issue new investment-grade debt to pay that off, and then you’ll do it and you are trying to understand really that the net value proposition for having it if one could make an MPI proposition for increased leverage and all that optionality that comes with that choice?
Arthur Penn: Yes, it’s a great question and it’s something we’ve been talking about for a while. Part of it is, of course, in the investor relationships, we value our investor relationships, whether they’re equity investors or debt investors. To us, reputation is highly meaningful. Our reputation, we issue these bonds as investment-grade bonds. We had dialogue with those bondholders all the time, and we value our reputation and we have 60 months left. And then we will assess different options and different leverage points in different portfolio, construction and investment-grade rating or at least living up to what we said to those bondholders, we think has some value, because character is, we say, we invest in and – we say, it’s a three CCC, it’s a credit, cash flow, the collateral on character with character ultimately being the most important thing that’s how we think. We strive to have the highest character ourselves. So – and look, the portfolio is still – we still want to need some work. We’re not sitting here and saying, the portfolio is perfect right now. We’re saying, we’ve got to put our head down and work this portfolio, and then hopefully, we’ll come up for air. I don’t know year from now, and the portfolio will be and even better shape. We’ll be closer to reassessing our overall strategy, our overall leverage, and we will hopefully have very good relationships with bondholders and our shareholders, you as we execute that plan.
Douglas Mewhirter: Okay, got it. That is very honest and forthright response. And no one can argue with that and – both bondholders and equity holders agree with it. Then that kind of brings that the second derivative that if new investment-grade debt is effectively issued, one could surmise that perhaps two to one would not be something that you’re going to consider of S&P still holds the line on where things are. That being said, I mean, there’s no answer to that question, it’s just a declarative statement. But your points about character matter the most and folks I greatly appreciate it. Now maybe moving to the next item on the portfolio, so you get a $40 million convertible note, ETX and you convert it to equity and clearly, that’s your option. Walk us through the value proposition of the conversion versus actually holding the debt and collecting what is likely coupon and cash flow at this point when cash flow, particularly high spread, it’s really hard to find in the middle-market and then new investments?
Arthur Penn: Yes, and so to the question. So the way ETX converts is arcane. The way it works, we’ve got PIK income, which is positive and we can all debate the value of PIK income. At the same time the way that convert, if you go back to the last Q, the face value was higher than the cost. So it’s what happened during the restructuring, the face value was higher than the cost. So you basically had a reversible ID – it was something like the face value was $38 million and the cost was $25 million, so you’re accreting down. So net-net, the amount of income that was coming from the ETX convert was de minimis even – plus it was PIK. So for us, this management team is excited about the opportunity. They’ve got a couple of acquisitions in their sight. They think those could grow equity value significantly. We are a minority shareholder – the two bigger shareholders. We’re supportive. We could have been obstructionist not our style typically. And since the net income that was actually coming was de minimis, we went along with it.
Douglas Mewhirter: Got it, got it. And so it isn’t as if this conversion was the need to relieve that individual company of – well, because I guess, it was all PIK, but some form of interest or cash burden at all. This was really just an an option exercise additional value?
Arthur Penn: Yes, and because they had acquisitions in their sites, they want to get these reserve base loans. And the RBL lenders, when you’ve got another piece of debt and they’re going to be less aggressive or not aggressive at all in terms of supporting that. So basically another version of what’s going at RAM. You RAM a few quarters ago, we converted a big chunk of debt to equity. Same thing, RBL lenders want to see less debt. These companies want to go hunt in this environment. Again, from an overall standpoint, you now have energy companies wanting to hunt, which is both good from an offensive standpoint, as well as at some point as we ascertain value hopefully and exit these equity investments, the M&A environment is starting to bubble up.
Douglas Mewhirter: Got it. And then this is a conceptual question, Art, just because clearly, as one of the clear leaders since the beginnings, the space was prior to the recession one of the very few that not only survived, but thrived. Now with the 2 to 1 leverage constraint or 2 to – with one to one leverage constraint being lifted, question is [in sue] [ph] in the mind of shareholders, right? Is this going to be beneficial, particularly on the incremental capital that’s being charged. And so can you give us, your views as to how you look at leverage today? And more importantly, whether you believe that additional leverage needs to combat it with a net win-win for both shareholders, as well as the external manager in the form of both increasing ROE, as well as increasing fee to the external manager?
Aviv Efrat: Yes, look, we agree that is should be win-win. So everyone should benefit shareholders, managers, et cetera. So, look, we’ll see, in this particular company, we’ve got to put our head down and execute the plan. And – but look, we’ll have a debate and discussion with our stakeholders, as well as our Board, as we come out of this 15 months from now. What’s our strategy? Do we keep the same strategy? Do we do a lower risk, lower reward strategy with perhaps higher leverage and fees that make sense relative to those assets? So…
Douglas Mewhirter: Yes.
Aviv Efrat: We’re happy to have those discussions and part of it will be what’s the market environment at that time. What assets are good risk rewards at that time? What mix do you want to have? We’d like to go in the market with our middle-market financial sponsors being able to give them a variety of solutions, whether it be classic first lien stretching your second lien mezz, that helps our team originate deal flow, because we can give people a menu of different options. That said, depending on the environment, you may want to skew higher in the capital structure, you may feel more comfortable skewing it in the middle of the capital structure. So that will all play into the the ultimate mix.
Douglas Mewhirter: I appreciate the thoughts. And again, thank you for the net improvement as it relates to ROE because of the fee and appreciate your thoughts on the win-win. So thank you so much and great quarter. Thank you.
Arthur Penn: Thank you.
Operator: [Operator Instructions] And we’ll take our next question from David Miyazaki with Confluence.
David Miyazaki: Hi, good morning. First of all, I guess, Art, you and I have talked at great length over the years about the absence of the share repurchase program. So first, I wanted to say, thank you for putting that in place, it’s nice to be on the same page with you in that regard. And I was also glad to hear that, it sounds like you’re actually committed to doing it. There’s quite a pantheon of repurchase programs in this industry that don’t really get affected. So my question for you on that front is, what happened your – in your discussions with the rating agencies? Because, obviously, you’ve had some monetizations here with your equity, but I presume you’re going to have to satisfy some thoughts from the rating agencies as far as how you’re going to manage that leverage versus buying back stock that will increase the balance sheet leverage?
Aviv Efrat: So it’s a good question. Look, there the agencies are focused on their specific guidelines. Each has their own. Fitch and S&P has their own specific guidelines. And with regard to our cash that we were able to generate this past quarter, particularly the $46-some-million of equity, we could meet – we could both meet their guidelines for staying investment-grade and do what we’ve been hoping to do for the last few quarters, which has initiated stock buyback. So, just due to the circumstances of the monetizations, particularly the equity monetizations that we were able to generate this quarter.
David Miyazaki: Okay, that’s good to hear. And just to clarify again that, obviously, your price will change in your stock and your investment opportunities will change. But all things being the same that from here, you would be committed to actually executing that repurchase program?
Aviv Efrat: Well, nothing if not predictable, I hope.
David Miyazaki: Okay.
Aviv Efrat: I hope we’re predictable, that’s our goal is to be predictable back to that character thing. So we did a stock buyback program a few years ago, we were predictable. We put into work over four quarters. This is our intention today. If the stock – if the stock market as a big spasm and we can buy the stock cheaper, we’ll put it to work quicker. But our intention is roughly 25% a quarter.
David Miyazaki: Okay, great. That’s very good to hear. I wonder also to delve back a little bit to you some conversations that we have had in the past regarding the – your portfolio of energy companies. And I think back when oil was in the 40s, that you had been – you were in the midst of restructuring a lot of the investments. And your comment was that a lot of these companies had long-term value. In the mid to high-40s, they could survive on a restructured basis. But they would reach profitability kind of in the mid-60s to 70 range. And it would appear based upon the way that you’re talking about M&A activity for RAM, for ETX, the opportunity to monetize American Gilsonite, is that still the case for these companies?
Aviv Efrat: Look, we’re – yes, we’re feeling much better. Here we are at around 70. We’re feeling much better. 70 is new in the last few days essentially, say, it’s 70. We hope we’re going to ascertain real value here. Nothing is ever for sure. All these companies have moved it around a little bit. They added assets here and subtracted assets there since while I was in 40, 40s a year or two ago, but we’re hopeful that we can get good value and over time exit these equity securities at good values and go back to doing our middle-market lending to middle-market financial sponsors and avoid the equity patch for ever more.
David Miyazaki: So one other things, I mean, there’s a big difference between making new investments and holding an existing one, I understand that. But your decision to hold the equity going forward at the same time when you are saying that you’re very unlikely to do any more energy debt in the future is somewhat inconsistent with each other, right? Because you’re optimistic about the opportunities in the industry and the opportunity for the equity to earn – to have good returns.
Aviv Efrat: Yes.
David Miyazaki: Can you reconcile that a little?
Aviv Efrat: I’m smiling, because you and I one day should have a drink about how we deal with some of our bad investments, not that you’ve ever made a bad investment, David. But…
David Miyazaki: Thank you for that effort.
Aviv Efrat: We have little style that we’ve paid for it, we’re sorry. We’ve had an excellent track record in basic middle-market sponsor-driven lending. I think, for these BDC portfolios, that’s where we should be. And it’s not to say another types of portfolio, as we can use our expertise and – that we’ve learned to make money. But yes, you’re right, there’s a basic inconsistency between holding on to equity investments that you think and hope we’ll generate good returns, because wind is finally at our back in energy after several years versus doing new loans and we debate this. And perhaps down the road, we may – after we looked our wounds for a little while, we may get back into it. But for now, I think, with chunk of this portfolio in energy, we’re full up in energy and then hoping to exit well with good values over time.
David Miyazaki: Well, certainly, having good outcomes on your remaining equity would bolster the credibility you would have in making those kinds of loans. But I would just say that, you paid the tuition for the lessons if you learned how to be a better energy lender, it might make sense in the future to apply those lessons. The last thing I would say is that, back when your dividend was in the high 20s, I think, you and I talked a little bit about where you’re going to set it based upon the fact that equity had risen as a proportion of your portfolio. And it seemed like my recollection from those conversations was that, you thought that the normalized earning power of the balance sheet was probably able to create an NII in the mid-20s. And so as you’re working through this and some of the equity is now coming back and you’re able to deploy it understanding that the ROE environment, the middle market has changed. But do you still see that that’s the earnings power of the balance sheet over time, not for this quarter, obviously, or next quarter this year. But as you move forward and deploy that capital, is that still the pathway that you think that you’re going to be able to hit?
Aviv Efrat: I mean, that’s certainly a goal that we aspire to. Certainly, using SBIC financing can be powerful. Certainly, recycling the equity exits as we get them can be powerful. And certainly, as LIBOR hopefully continues to go up and perhaps we could catch a break in spreads increase over time, it’s certainly an aspiration. I think, we’re more focused on here now and executing our game plan and all those levers and then we have to go back to the 20s for sure.
David Miyazaki: Okay, great. Well, I appreciate the progress on the multiplicity of different funds and look forward to watching the progress.
Arthur Penn: Thank you very much, David.
Operator: And we’ll take our next question from Mickey Schleien with Ladenburg.
Mickey Schleien: Yes, just one quick follow-up. Apart from the reversals, what else drove the unrealized depreciation for the quarter?
Aviv Efrat: I mean, the biggest mover was ETX, and this conversion from convertible debt-to-equity at a value that was determined by the majority of shareholders, which would roughly cost. That was the biggest driver of the move.
Mickey Schleien: Okay, thank you. That’s it for me.
Aviv Efrat: Thank you.
Operator: And we’ll take our next question from Michael Cohen with Opportunistic Research.
Michael Cohen: Quick question on both sort of RAM and ETX. Is the strategy similar to what you guys have articulated in the past, which is they’re trying to find adjacent properties and wells that by definition kind of improve their operating leverage, which kind of improves their EBITDA, which makes them more attractive for exit?
Arthur Penn: That’s correct The idea is to cluster and get critical mass in certain geographies and then create the best value for exit or over the long-term.
Michael Cohen: And how far along do you think they are in that process? What do you think is a realistic time horizon in the past, we’ve said anywhere from 12 to 24 months on sort of a rolling basis. How do you think about that today?
Aviv Efrat: I think, it’s still probably the same 12 to 24 months. These management teams have very specific areas of focus and plans that they want to pursue, which is why these capital structures are morphed around a little bit in the last six, nine months. And I think, our goals given time is if the animal spirits pick up again in the energy markets and there is a great value on that, of course, we’ll look at taking it.
Michael Cohen: And just out of curiosity and when they are sort of layering on adjacencies, how you guys think about the risk, obviously they are now buying with oil at $70, not $40, so there is presumably what they are paying for is, higher valuation, which kind of introduces some risk, but can you just kind of talk us through how you think about that?
Arthur Penn: That’s right, it’s a good news and the bad news at the same time, right? So clearly, we and those management companies want these add-on acquisitions to be accretive, such that when we go ascertain value, the overall value will be better and certainly at 70 versus 50, it is more expensive. So if there is no good deals to do, that tells you that maybe you should be selling, right? So, I think we just got to play along for a little while.
Michael Cohen: Okay understand, and then not to beat a dead horse on the SBIC. Let me ask a question slightly differently, recognizing obviously your unwavering commitment to bondholders, which makes complete sense to me. How much of your thinking is impacted just simply based on sort of timing of the economic cycle, timing of the commercial lending cycle and wanting to have a greater reserve, a greater purchasing power for lack of a better way of saying it at the bottom of the cycle, meaning if you held your dry powder until the time period in which credit perhaps genuflect and you can then use that additional purchasing power, how do you think about that, is that a consideration?
Arthur Penn: Hey, certainly, there is and as well as what our – what’s the underlying collateral relative to the debt. So we’ve always said that this legislation has been bandied about for on those six, seven, eight years wherever it is. We said that there are certain assets, like classic first-lien debt where you can prudently leverage them more than one-to-one and you should feel fine. And we’ve also said there is assets such as second-lien or mezzanine, that even if you could leverage them more than one-to-one, you should. So it’s all kind of, in some ways it’s based on the underlying portfolio that you had PSLT, which is an assisted BDC that’s mostly first-lien as a joint venture where they had joint venture on first-lien assets, it’s up to two-to-one leverage, we think for that collateral that’s absolutely prudent and make sense. PNNT today is kind of 40% second-lien and mezz and 17% equity, you know thank you very much, even if we leverage one-to-one-one, we are fine for now. And part and parcel it is, yes, we want to maintain our rating for a number of reasons. But look, as these bonds roll off in 15 months, we can look up and say what’s the opportunity to market on the asset side; what’s the opportunity on the financing side; what our stakeholder is saying, but then equity stakeholder and do we shift the mix around a little bit. So that’s a discussion we’ll be having over the coming year.
Michael Cohen: Great, thank you very much. I appreciate you taking my questions.
Arthur Penn: Thank you, Michael.
Operator: At this time, I’d like to turn the call back to Mr. Art Penn for any additional or closing remarks.
Arthur Penn: Just want to thank everybody for being on the call today, lots of great questions. We remain excited about our company and about the investment opportunity, so thank you for your interest and we’ll be talking to you in early August. Thank you very much.
Operator: And that concludes today’s presentation. We thank you for your participation. You may now disconnect.